Executives: Paddy Dear - Principal Phil Bland - Chief Financial Officer Mike Rosenberg - Principal
Operator: Good afternoon. Thank you for joining Tetragon’s 2014 Annual Report Investor Call. You are all in a listen-only mode. The call will be accompanied by a live presentation, which can be viewed online by registering at the link provided in the Company’s conference call press release. This press release can be found on the homepage of the Company’s website at www.tetragoninv.com. In addition, questions can be submitted online, while watching the presentation. I will now turn over to Paddy Dear to commence the presentation.
Paddy Dear: Thank you very much. As one of the Principals and Founders of Investment Manager of Tetragon Financial Group, I’d like to welcome you to our investor call. We’re going to focus on the Company’s 2014 annual results. I’ll provide an introduction; Phil Bland, our CFO will review the Company’s financial performance for 2014; and then Mike Rosenberg and I will talk through some of the details for 2014 and we’ll conclude with some thoughts on cash, current cash levels that is and investments or potential investments for 2015. We’ll also be taking questions electronically by the web-based system at the end of the presentation as well as answering certain questions that we’ve received by email since the last update. As in previous calls, I’d like to remind everyone that the following may contain forward-looking comments, including statements regarding intentions, beliefs and current expectations concerning performance and the financial condition on the products and markets in which Tetragon invests, and our performance may change materially as a result of various possible events or factors. This slide up, first, as I think many of you have seen before, the Tetragon aims to provide stable returns to investors across various credit, equity, interest rate, inflation, and real estate cycles. And TFG’s investment objective is to generate distributable income and capital appreciation. The observant amongst you will note that we’ve added inflation to this statement. And the reason I mentioned that is that important to TFG is aiming to provide shareholder stable returns over the long term and obviously that’s where inflation becomes a relevant factor. We believe that the diversification of assets and earnings over the last few years will help us in this regard. The next slide again is one that many of you have seen before, which is focusing on the investment strategy, and just a highlight. We’re looking for attractive asset classes and investment strategies; we want to identify superior asset managers; we want to use the market experience of the investment managers and negotiate favorable terms; and lastly, we seek to earn all or a portion of the asset management company in which we invest. But the modern statement is new and really it’s through this investment strategy, TFG has become a diversified alternative asset management business that owns majority and minority stakes in asset managers and uses its balance sheet to invest and build and grow those businesses. We believe that the asset management businesses have become increasing relevant and for those of you that have spent time with the annual report, we hope that you have been able to notice the focus on that. So, snapshot of those asset management businesses, I take this chart out of the annual report. It shows that TFG Asset Management is global; it’s multi-branded with the brands being LCM, GreenOak, Polygon, Equitix and the newly formed Hawke’s Point. Following the Equitix closing in February of this year, the aggregate assets under management or client moneys from those various different businesses is approximately $13 billion. They employ about 190 people worldwide and contemplate in the shredded areas of developed markets of the U.S., Europe and Japan. The main focus in terms of offices is, London; New York and Tokyo, and I’ll come back to this later. But at that point I’ll leave it and hand over to Phil who is going to talk through the 2014 financial performance.
Phil Bland: Thanks so much, Paddy. I’ll be providing some high level comments on four of the key metrics that we continue to focus on. Paddy and Michael then review underlying business dynamics for the various business lines that we run. We have four main metrics that we follow: Earnings; net asset value per share; distributions, particularly in the form of dividends; and assets under management growth. We look at the earnings measured in two different ways, both return on equity and earnings per share and I’ll start with return on equity. Now, we commented on earlier calls in 2014 that it was likely that TFG’s returns might be at the lower end of the target range of 10% to 15%. And ultimately TFG delivered an ROE of 6.6% on the year. There were a range of multiple positives underlying that result. Firstly, a descent performance from TFG Asset Management’s operating businesses and those generated cumulatively an EBITDA equivalent of $23.1 million in the year and more on which later. There were particularly encouraging performances by two of our more mature businesses: Polygon’s convertible opportunities fund and LCM with LCM also generating performance fees on certain of its CLO 1.0 positions. We also saw excellent progress like we have real estate measured by AUM growth, operating profitability and growth and embedded value in terms of expected carry. As a whole, this resulted in a write-up of the carrying value of TFG’s 23% holding in GreenOak by approximately $38 million in the year to $66 million, as details provided in the annual report. Now, the TFG Asset Management EBITDA was achieved despite a couple of headwinds matters. One, we saw some low effect [ph] of the CLO fees as CLO 1.0 amortized down in line with expectations. And the result was also despite weaker than expected results and therefore performance fees from the European equities fund which by many of its peers hit headwinds in the latter half of 2014 after strong start to the year. Turning to our second measure of earnings, earnings per share was $1.24 in 2014 of which the investment portfolio contributed $0.89. And you will be able to see a detailed analysis in figure 23 of the annual report of EPS for the year and indeed year-on-year. TFG’s investment performance was affected positively by; firstly, CLOs performing in a stable and consistent manner, enhanced by some sales mid-year. As expected and as discussed on previous calls, CLOs continued to decrease as a percentage of TFG’s portfolio as CLO 1.0s amortized further and the expected yields on CLOs reflected in our applicable discount rates also dropped compared with 2013. The second big positive was the return on TFG’s investments in Polygon’s convertibles and distressed opportunities funds and in certain of GreenOak’s real estate funds. On the negative side, there were number of factors. We experienced some losses incurred in equity related investments, many of those held directly on the balance sheet. Second, we also saw some losses on certain tail risk interest rate hedges during the year which we haven’t seen the year before. And finally, we experienced some drag on performance through holding higher than usual cash balances in the second half of the year in anticipation of the acquisition of Equitix. The Company’s average cash balance as a percentage of average AUM was around 20% at times more for much of the second half of the year. And that’s rather more than our normal 10% to 15% range. Our second metric is NAV per share. TFG maintained its pro forma fully diluted NAV per share above $17 through to the year end. And that was the increase of $0.69 per share or 4.2% over the year. That gain was after physically distributing dividends of $0.61 during the course of 2014. And that’s the natural segue to look at our third metric, which is dividends per share. TFG continues to pursue a progressive dividend policy with a target payout ratio within a range of 30% to 50% of normalized earnings, recognizing the long-term sustainable target ROE of 10% to 30% per annum. The Company increased the overall dividends year-on-year by over 9% and the full year dividend of almost $0.62 per share was equivalent of 6.2% yield on the year, so on the year-end share price of $9.90. So, it’s worth noting here that the per share metrics of earnings per share, dividends per share and NAV per share were all enhanced in 2014 by the repurchase in Q1 of approximately 4.9 million shares at a price of $10.30 through a tender offer, details of which were provided in the Q1 2014 report. I’ve already mentioned two important drivers of value in 2014, namely EBITDA for TFG Asset Management and the revaluation of TFG’s 23% holding in GreenOak; now a fourth important metric that fits into both of these items is assets under management. It impacts much of the repeatable revenues for the LCM, Polygon and from early 2015 Equitix businesses. It also provides one of the key inputs, namely management fee income, into the fair value calculation of TFG’s holding in GreenOak. Now, as you can see, this slide demonstrates strong overall growth by 20% in 2014 to over $11 billion. The pro forma column also shows that Equitix has added approximately $2 billion of additional AUM, so that’s another 17% in Q1 2015 to get us to the $13 billion that Paddy alluded to a moment ago. So, having reviewed the four metrics, I’d like now to turn to the TFG Asset Management segment operations. Now, I’ve already commented on a couple of the important elements in this table, namely the EBITDA equivalent of $23.1 million and also the revaluation of the fair value of TFG’s minority share in GreenOak which flows into the unrealized gain on asset management. Now, let me comment on a couple of the important items that drive or underpin the EBITDA. Now, you can see that fee income has increased year-on-year by about 9% to $81.1 million. But underlying that general other trend, there are some important underlying trends. Third party fee paying management fees earned by the Polygon hedge funds and LCM together has increased by 24% year-on-year. Gross performance fees on the same businesses grew by around 49%. Now those successes were reflected in the increase in certain of the TFG AM’s costs of $58.2 million in the year and in particular compensation linked performance in those outperforming businesses. Now obviously headcount tends to drive the costs for asset management businesses. So this one is to note that other than adding to TFG AM’s compliance theme during the year, the support headcount was unchanged and the platform teams were able to absorb the increase in scale and breadth of the business. So this is the scalability issues we’ve discussed on past calls. We did add to the investment staff and thus to the revenue generation capacity during the year. Although you will hear more about later, the certain of the seeding businesses such as Hawke’s Point and the early stage business such as mining, there is likely to be a bit of a time lag before the income stream kicks in. Partially offsetting the management fee income growth, we saw a decline in third party CLO fees as CLO 1.0s continue to amortize down. And we also saw a reduction in management fees earned on the private equity fund as it continues to sell down its portfolio broadly in line with its plan. So there is a range of dynamics that work both positive and negative, although on balance we would say very much positive; we hope we’ll see extremely good momentum and improving quality of the earnings in TFG Asset Management’s EBITDA as fee paying AUM and then for repeatable management income continues to grow. And as we discussed in the Q4 presentation, Equitix adds materially to that momentum from early 2015, both in terms of third party AUM in terms of fee income; and in terms of EBITDA. And with that I’ll now hand it back to Paddy.
Paddy Dear: Thanks Phil. I asked Phil to leave up his last slide because I wanted to revert to an earlier theme and that is the relevance of the asset management income to TFG. As Phil has pointed out, you can see here the fee income has risen from $74 million up to $81 million and would just note that the GreenOak is not included in that and also the bottom line there the net income, net economic income is $46 million up from $20 million last year. So I want to put this in perspective and to do that I’ve got a chart that is taken from the annual and to next slide. What this shows is the net economic income from the TFG Asset Management business is over the last five years for Tetragon and you can see obviously a material increase. I’ll pause at this moment and say I absolutely don’t want people to be extrapolating this curve and would also make sure people understand the TFG AM is an amalgam of many businesses and they all have different accounting policies, they’re all at different stages of maturity. So the purpose is not to get people to extrapolate the chart but I think the one legitimate takeaway and the reason we’re using it is we want to demonstrate the materiality of the business and how that is changed over the last few years. And given that I would like to talk you through some more color on the underlying businesses that make up TFG Asset Management. So first on this next slide, we have LCM and the chart shows the assets under management for the business over the last three years. You can see that the darker line is the amortizing CLO 1.0s and then the grayer line is the 2.0s and those have been expanding. Last year, gross AUM grew by $1.7 billion new capital and three CLOs that LCM bought to market and obviously that is counted by the amortizing nature of the existing part of the book. Performance for LCM overall was very strong, particularly given that performance fees kicked in on several of the older vintage 1.0 deals. Next, we have similar metric showing for GreenOak, so again looking at AUM over the last three years. And for those that want more breakdown on AUM, the annual has more detailed breakdown in some of the funds. Again, I would summarize a very strong year for GreenOak on investment performance and asset gathering. The first two comingled funds, the U.S. Fund I and Japan Fund I both now have substantial sales of their early assets. And we believe they’ve performed extremely strongly versus their underwriting assumptions and their peers. And we’re very proud of what our partners have built at GreenOak, has comingled funds in Japan; the U.S. and Europe, the debt fund in the UK, they have managed accounts across the globe and the global advisory business and all of that from a standing started in 2010. Moving next to Polygon; I’ve done the slide slightly in reverse here. You can see on this slide, it has the funds, assets under management and performance. I would say generically for the hedge funds universe for 2014 was a rather more mixed year than perhaps the real estate and CLOs. Notwithstanding that we have several very good performances within the Polygon funds. You can obviously see the numbers on the slide; these have also a net performance to investors. I would highlight first up the convertible funds run by Mike Humphries, up 13.9$ net in 2014, won the EuroHedge Award again for its category and has been a serial winner and has an outstanding 19.4% annualized life to date return. I’d also highlight that the distressed business which as everyone knows, they start out business in September 2013 for Polygon, a great performance in its first year and in fact was itself nominated to new fund of the year. So that is doing exactly as planned. I won’t run you through the annualized net performance numbers but obviously you can see those on the slide. I have included similar to the other presentations, the AUM for the aggregate for the Polygon hedge fund businesses. And just a quick word on what we might expect in the current year. The CD fund is closed at $400 million, so obviously constraining its capacity and concentrating on performance. So, we obviously expect performance and that may grow the AUM but we’re not expecting new capital into the fund in the current year. The event driven fund that is the European event driven fund had a tough second half last year, although performance has picked strongly this year. But it’s likely to be the second half of the year before we attract new moneys as we would expect. And to discuss from what I mentioned just a moment ago is now open to new capital and we’re hoping for third party capital into that fund in the current year. The next slide looks at Equitix. Now Equitix obviously was not in the 2014 numbers but the deal has closed and it’s part of the business now, so I’ve included it for completeness. And I’ve just given a summary here in dollar terms of the funds under management. They are in fact sterling funds, so obviously are subject to the FX at any point in time. In future, quarterly as well obviously get a fuller description in the same manner that we do for the other asset management businesses for Equitix. And lastly, on these businesses, I don’t have a slide but the Hawke’s Point business which we initiated in the fourth quarter, no investments yet, so nothing to report on that. So moving to my next slide and getting back to the numbers and this will be another new table. It is shown in the annual. And what we’re looking at here is showing both the net asset value and the economic income split between TFG Asset Management and rest of the balance sheet. Now we think this is becoming increasingly relevant; it’s something that people have asked us to see a breakdown and so expect to see this breakdown in future reports. The other reason we think it has some relevance is that whilst a pool of investments and securities net asset value has, obviously a material measurement device but not always the case for operating businesses. And so the TFG Asset Management business, it obviously does have a net asset value on the balance sheet. It may not always be the best way to measure the true value of that business and we think therefore there is margin [ph] in breaking it out and showing the best as that. And in fact we have a lot more detail on that in this next slide. And again, this is taken from the annual; it’s a new slide. What it shows is TFG’s net asset value split by asset manager, so LCM; GreenOak; Polygon; Equitix et cetera, but it also shows the NAV split between the investment in the underlying funds as well as TFG’s ownership of the business itself. So, if I just were to take you through this line by line, if we take LCM as a starting point, the first column has $230 million which is loans and CLOs that Tetragon has invested in LCM, CLOs and products so managed by LCM. The asset management value or the value of the asset manager of LCM is held on TFG’s balance sheet at zero and zero is achieved by the purchase price in 2010 and subsequent amortization for the applicable accounting reporting. The second item if we look at GreenOak, you can see on the left-hand side there is $88 million, which is the value of the investment that we have in GreenOak vehicles. And the next column, so $66 million which is the 23% the Tetragon owns in GreenOak that is marked at $66 million held at fair value. So, in a way, it can be opposite of LCM and that if GreenOak is a growing business, it may indeed increase in value in terms of its carrying value on the balance sheet whereas LCM, even if it is a growing business will have a carrying value zero. And I think it’s important for people to understand the price estimates, so why we think this chart is particular relevant. If we get onto the third item, we have Polygon, the hedge fund businesses we have $316 million invested in those businesses. The value of Polygon Asset Management business or the hedge fund businesses is currently $30 million on the balance sheet and that is being amortized down in line with the accounting practices for the commercial purchase price. Equitix is the other end of the spectrum. Currently we don’t have anything invested; certainly although at year-end, we didn’t have anything invested in the Equitix funds themselves but the carrying value we put here is $137 million. Now that is a purchase price net of the debt of the Equitix level. And over time that will be partly accounted for amortizing contracts, so they will be amortizing down and part of it is goodwill. So again, complex in this, there will be a lot more detail on that provided in the Q1 report. Hawke’s Point is the next item. Nothing invested as I mentioned, so nothing added on the current value of the asset manager or indeed in any of the products. We then have the direct investments in the external managers to make up the full balance sheet. So, we think this is a very useful, not just for illustrating the different accounting policies for various different parts of the business but also from a risk perspective, we need to be very cognizant of not only what is invested in underlying products, but what is the value of the business as held on the balance sheet and so looking at in aggregate is a great importance. I’ll now move on to looking at the balance sheet composition, how it’s changed over the year. And we’ve got two slides on this. One is the pie chart that you see in front of you that has the asset allocation of the balance sheet breakdown as of the end of 2013 and then showing the same as at the end of 2014. I would highlight the main features, reduction in our exposure of CLO 1.0s which is the large green area in both pie chart that is diminished partly due to amortization of those 1.0s and partly to some that was sold and cold which Michael will talk about in a moment. Commensurately, there has been an increase in CLO 2.0s. I mentioned we’ve done three new LCM deals and that’s obviously increased our exposure to the 2.0s. We have increased our exposure to real estate through investments in GreenOak vehicles and in particular increased our exposure to distressed assets through the Polygon distressed fund that we launched and invested more through 2014. The one other area of material increase is in the cash and as Phil mentioned, we have to keep high cash levels ahead of the acquisition of Equitix. This next slide shows same data but with the numbers attached to it and with income for the year. We talked a bit about the various different asset classes. What this list of affairs shows what the year-end net assets were, so that shows you what we’ve just seen in the pie chart. And then it shows you the income generated for the year. And obviously, one can’t simply divide the income by the net assets to get a return given that that’s the year-end snapshot of the net assets and the income has been generated over the whole year. But nonetheless, we feel it’s useful to demonstrate materiality of various different bits of the business. Phil has gone through the financials but I just wanted to sort of really highlight a few different things. I think the materiality of TFG Asset Management we have talked about already. Second item I want to focus on is what is called the other equities credit convertibles and distressed where there is a loss of $27 million on the year. And I think the best way to think of this is that the investment managers at TFG is in a very strong position at many times to be able to discuss what it does discuss ideas with each of the underlying managers on the TFG Asset Management platform as well as many external managers, many of whom we have money with. So the investment manager uses this position and has the process to evaluate ideally the best ideas across the potential portfolio which comprises amongst other things real estate, loans, equities, distressed, infrastructure, et cetera and through this process can sometimes increase its exposure either by the co-investment opportunity or indeed at other times will express that investment of being directly on the balance sheet. And that is what that section is about. Obviously in 2014 as you can see, TFG lost money. It was lost money on a single equity investment expressed in this manner and mainly in the second half of the year. That position was actually sold in the second half of the year in Q4 and so that doesn’t exist. And you’ll be pleased to know that this part of the portfolio has been profitable in the first quarter to-date. The third item I just wanted to highlight from this slide is CLOs. They are still materially the largest area of income and exposure. And I want to pass over to Mike Rosenberg to discuss the CLO market in more detail.
Mike Rosenberg: Great. Thanks Paddy. So as Phil mentioned previously, the CLO portfolio performed well in 2014, generating an annualized return of approximately 13%, corresponding to $169 million of income during the year. TFG’s CLO equity has benefited from amongst other things loan price volatility, allowing its underlying CLO managers including LCM to acquire attractively priced loans, increasing net interest margin. We also were opportunistic in calling and selling deals during the first half of 2014 when market conditions were favorable. U.S. CLO issuance has gotten off to a slow start in 2015 with only 13 billion of issuance through the first two months of the year. This has led several investment banks to lower their full year projections to well under $100 billion and as low as $70 billion to $80 billion which is a significant drop from 2014’s total of $124 billion. This slowdown has been met with spread tightening across the CLO debt capital structure with AAAs currently pricing in the 150 to 155 basis-point range which is 5 to 10 basis points tighter than in December and January. The majority of issuance in 2015 has been led by well established managers who historically command more competitive debt pricing. These managers are typically thought of as having ability to meet the U.S. risk retention guidelines when they go into effect in 2016. On the 24 U.S. CLOs issued this year, over 60% were issued by managers with at least 6 post prices of CLOs issued. An additional factor in the slowdown in CLO issuance during first two months of this year maybe the retreat of some CLO equity investors from the market including hedge funds and BDCs who may have suffered from mark-to-market losses on their holdings due to energy related exposure. Predictably however, we have seen recent evidence of hedge funds coming back into the market as loans have begun to rally. The slowdown in CLO issuance was also maxed by slow start to the year and underlying leverage loan issuance. As of the end of February, 27 billion of institutional leverage loans were priced versus 52 billion over the same time period last year. Additionally, the forward calendar for bank loans looks to be on the right side. Generally speaking, excluding the energy sector, the default environment continues to look relatively benign as many companies benefit from the reduction in oil prices. Finally, as we discussed last quarter, risk retention continues to impact the landscape for CLO issuance with managers who may already meet the requirements, solidifying their market position while other potentially non-compliant managers trying to seek solutions to the pending U.S. capital requirements that are scheduled to become effective in 2016. We continue to review the proposed regulatory changes and the effect they may have on the aggregate CLO market. We believe that these regulatory changes could lead to market dislocations that may advantage CLO equity investors that are able to provide structural and capital risk retention relief to CLO managers. Managers that do not have, nor are willing to provide the necessary capital for such an investment, may be forced to partner with well-established and well-resourced investors to meet the regulatory risk retention guidelines. These potential partnerships could result in attractive investment opportunities for risk retention complying capital investments. Given TFG’s permanent capital base, we believe that the Company is well positioned to benefit from any changes in the CLO market as a result of new risk retention guidelines. With that, I’m going to hand it back over to Paddy.
Paddy Dear: Thanks, Mike, and the last slide we have here is slight change but one, we’ve used previously where we try to look at what’s our current cash balance and give some thoughts as to how that cash might be deployed in new investments over the coming 12 to 18 months. So firstly, cash as of the end of February, $250 million and I should note that we think of what is our investable cash and this is somewhat different from the balance sheet reported cash. And we obviously need to look at it net of any margin requirements, net of any regulatory capital that’s held, net of any cash that’s held at subsidiaries and the like. So, if people are sort of querying why that number perhaps a little lower than they would expect it; that is some of the reason. The second thing is the second item here, we do have some debt. Now, the debt is secured at Equitix and is non-recourse to TFG. But notwithstanding that we shouldn’t ignore that when we’re looking at the balance in terms of the cash perspective, hence I’ve left it on the chart. I think in terms of investments, you should think about us having the ones; we have a pipeline that we might think of as being known investments or highly likely investments and then some more opportunity ones. But certainly the top funds are those that are highly likely and certainly planned. We plan to issue new CLOs, predominately through LCM in the current year, somewhere in the region of $25 million to $100 million where we’ll be taking majority of the equity position, most likely. Real state; obviously long lead time for many of the GreenOak funds and vehicles, so again some high degree of visibility about the expected investments in most vehicles. Hawke’s Point; I think we’ve talked quite a bit about. We’re looking to invest up to $100 million; obviously it depends on the opportunities but certainly that is earmark for investment. The infrastructure business, difficult to say; obviously we can’t investment in existing funds that are closed but to the extent that co-investment opportunities come along or new funds raised, that will give us opportunities. So those if you like are before where we have some degree of known or planned pipeline, then we have opportunistic investments either within any of our existing operations and TFG Asset Management entities or indeed in the last column, three new businesses where obviously by definition those are in opportunistic process. So you can see quite a lot of potential to put money to work in the current year. With that, I will wrap up the main part of the presentation and move on to Q&A.
Paddy Dear: And maybe if I take the first one here; we have two questions on this topic. So, if I read them both out. First question is what is the threshold of passive versus active income necessary to gain access to U.S. exchanges? And how do you think TFG will reach that threshold? Second question is can you tell us a bit more about the long stated goal pertaining the U.S. listing? What sort of time frame do you expect and can you elaborate more on the issues with PFIC currently preventing your U.S. listing? So for those who need a bit of history on this, I will give just a little bit of background and then try and answer the question. At the time of the IPO, Tetragon obviously in consultation with sort of underwriters, advisors, et cetera, concluded that the Euronext in Amsterdam was the most optimum suited to facilitate the companies pursue to both the investment objectives and other relevant considerations. But we’ve stated on this call previously that we continue to explore potential for U.S. listing over the longer term because we believe U.S. markets tend to offer better research coverage, liquidity, valuations, for companies such as ourselves. Now, the makeup of the company’s businesses, income from assets are among the key consideration in analyzing potential for U.S. listing and that gets us to what the question is alluding to. Now unfortunately, it is not as simple as meeting a specific income defensive threshold, although obviously that’s certainly important component. And I know there are numerous factors that need to be addressed. So, what I would say is that broadly speaking and certainly this is in Lehman’s terms as I understand it, the majority of the assets and income need to be what is considered to be good income as opposed to passive, so active as opposed to passive. So obviously, as TFG further diversifies its assets and income streams towards the active side and away from the investment or passive income, then -- and also as we I guess increase TFG Asset Management to become more prominent, then all of those things would be positive and potential for U.S. listing. In terms of timing, we don’t have any set timing but obviously the growth of TFG Asset Management is highlighted in this and the annual in the recent years and especially in 2014, certainly leading us towards that opportunity. So, slightly long winded, but there isn’t a specific. It’s not an easy question to answer and in terms of timing we know we’re on the right part but we don’t have a specific date by which we expect to achieve that. Second question here, what is the maximum duration on CLO 1.0s given the current reinvestment rules? In other words how many more years could these vintages remain outstanding? And I am going to pass that one to Mike.
Mike Rosenberg: Thanks Paddy. We expect that the vast majority of our CLO 1.0 exposure will be fully amortized or called within the next two years but that obviously can change depending on market conditions.
Paddy Dear: Thanks. Next one is will you give an estimate of Equitix’s EBITDA contribution for 2015?
Phil Bland: Which I will be delighted to and in fact, I force folks to having had chance to see it. We presented some pro forma numbers which included an expected EBITDA for Equitix 2015 back in Q4 when we discussed the Q3 results on the equipment presentation slide. And in that presentation on slide 26, we showed TFG’s expected share of Equitix’s EBITDA to be $43.5 million. Now, there are couple of dynamics that happened since then, one is the deal that was closed in early February. So therefore, we don’t recognize the EBITDA for January; it’s in that. But having said that, given the start of the year that Equitix and how we’re still comfortable with that as a pro forma number to work with $43.5 million.
Paddy Dear: Thanks Phil. Next question, in terms of growing TFG Asset Management, you are actively looking for businesses to acquire within your favorite asset class or is it more of an opportunistic basis? And I think the simple answer is yes to both. We certainly have favorite asset classes but as we’ve discussed before, it’s a question of finding the right management team. Second perhaps would we be opportunistic? Yes, but again, as we’ve talked in the past, we have some very strict and detailed criteria. So to put it perhaps into perspective, certainly just speaking for myself, I probably see over 100 management teams a year. As you can see from track record over the last five years, we have done some deals but we’re not doing -- we’re doing a very low percentage of the amount of businesses we see. We are happy to build. I’ve made it from scratch, the example is being the distressed fund or Hawke’s Point; we’re happy to buy and example of that would Equitix and LCM. We’re happy indeed to build for the hybrid with our joint venture as we did with GreenOak. So we’d certainly explore any opportunities but there is no guarantee that they are easy deals to be done and each one takes its time to due diligence. Next question is how does an investor model your asset management EBITDA in 2014 fees increased but EBITDA decreased? And I am afraid I don’t have any an easy answer to this.
Phil Bland: So you reported my observations when we discussed the EBITDA earlier, two different things. We looked at the dynamic driving the increase in fee income, 9% overall growth as you’ll recall and then some positives and some negatives, but overall a positive dynamic. We also talked about the changes in costs. And one of the reasons that the costs grew faster than income stream is that there were a number of compensation or performance related compensation increases on the successful businesses; and I mentioned LCM and convertibles as two examples of those. So they’re not kind of -- it’s not the linear arrangement and so therefore that makes it a little bit more problematic to model. Within the individual business lines, there are different cost income ratios as you might expect, depending on maturity of the business. And son on a blended basis, you would expect things all being well, to continue to improve as we mature the businesses that we’re currently building and ready go fast in costs. But that’s all kind of on the medium term.
Paddy Dear: Next question is how much capacity is to grow the size of existing Polygon funds? And I think we’ve just talked about the numbers here. So, if I just sort of -- just to be clear, if we’re talking over the next 12 to 18 months, so let’s call it the current environment and the current funds and the exiting teams, we think to give a broad range, it’s probably in the $1 billion to $1.5 billion range for those existing funds. Next question is can you describe the Equitix fee structure and also if the AUM figures reflect equity capital invested in the funds or AUM including debt financing for investments? So, if I answer that in reverse order, the AUM numbers are the equity amount, so they do not include the debt financing for the investments. And on the fee structure, we do actually give some details in the annual report but rather than going through all the complications, I would say that the way to think of the business is it’s roughly a 1% to 1.5% asset management fee business with a performance fee that’s 20% over 7.5% hurdle. But as I said, there’re full details in the annual report and in fact the full details for all the various asset management businesses and the funds and the fees that they charge. Question here on what was the single position held on TFG’s balance sheet that generated the loss? And I’d say, we don’t disclose individual positions to the extent that we don’t require to and so we don’t give out that information I am afraid. The next question is given the accretive nature of buybacks for the large discounted NAV, are there any plans to continue repurchases and/or for tenders? I think we’ve had this question many times, not surprisingly. And as I think people have sort of listened into these calls in the past that it’s certainly always a consideration. And yes indeed buying shares back at a discount or material discounted, NAV can be very accretive on a NAV per share basis. And in fact if one looks at the history of the Company, we bought back about 41 million shares, spent about $325 million doing so and that’s roughly speaking, about 35% of the initial issuance of shares. So yes, we believe in buybacks. Having said that, the evidence is rather that it doesn’t actually necessarily affect the share price, it can have material reduction on liquidity, it can concentrate or probably does concentrate risk rather than diversified risk, it doesn’t create long term value for the business. And so what we like to do at any point in time is look at the pros and cons of any cash usage we have for investment and match that up against the potential of share buybacks. And so it is we treat it as a use of cash as we do with other investments. Next question is has there been any headway in obtaining additional research coverage from the street other than the Deutsche Bank and N+1 Singers? The simple answer to that is nothing that we know of. We have had a few other pieces written, small pieces by one or two banks Russ Charles [ph] and Dexion here in the UK; we are working on it; we are in dialog with some other banks but nothing that I can report on this call. And I might have probably covered this already but answer, he asked in a slightly different way which is how much cash is expected to be generated by the CLO portfolio in 2015? And I guess the way we’d thought about that is if we look at the 1.0s which is what Mike was referring to earlier, we expect depending on how we treat them, probably a two year run off from here. Is that fair Mike, something that best?
Mike Rosenberg: Yes, that is fair.
Paddy Dear: That’s the best way to approach that. Okay. And that completes the questions. So thank you very much for joining us. And we look forward to speaking again shortly.